Operator: Thank you for standing by. This is the conference operator. Welcome to the IAMGOLD Fourth Quarter 2025 Operating and Financial Results Conference Call and Webcast. [Operator Instructions] The conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference call over to Graeme Jennings, Investor Relations for IAMGOLD. Please go ahead, Mr. Jennings.
Graeme Jennings: Thank you, operator, and welcome, everyone, to our conference call this morning. Joining us on the call are Renaud Adams, President and Chief Executive Officer; Maarten Theunissen, Chief Financial Officer; Bruno Lemelin, Chief Operating Officer; Annie Torkia Lagace, Chief Legal and Strategy Officer; and Dorena Quinn, Chief People Officer. We are calling today from IAMGOLD Toronto office, which is located on Treaty 13 territory on the traditional lands of many nations, including the Mississaugas  of the Credit, Anishinaabe, the Chippewa, Haudenosaunee and the Wendat Peoples. At IAMGOLD, we believe respecting and upholding indigenous rates is founded upon relationships that foster trust, transparency and mutual respect. Please note that our remarks on this call will include forward-looking statements and refer to non-IFRS measures. We encourage you to refer to the cautionary statements and disclosures on non-IFRS measures included in the presentation and the reconciliations of these measures in our most recent MD&A, each under the heading non-GAAP financial measures. With respect to the technical information to be discussed, please refer to the information in the presentation under the heading Qualified Person and Technical Information. The slides referenced on this call can be viewed on our website. I will now turn the call over to our President and CEO, Renaud Adams.
Renaud Adams: Thank you, Graeme, and good morning, everyone, and thank you for joining us today. Last year was a monumental year for IAMGOLD. It is a year in which the company reported record revenues of nearly $3 billion enjoying gross margin of over 40% and generating operating cash flow of over $1 billion, which is notable $702 million generated in the fourth quarter alone. Now everyone on this call is aware that this is a historic time in the gold market, as the gold price increased nearly $1,700 per ounce over 2025 and exiting the year at just over $4,300 an ounce, which is still more than $600 an ounce lower than where we are today. So while we're not along in realizing the gold market, we believe IAMGOLD is particularly well positioned to capitalize on this market for the benefit of our shareholders, stakeholders and partners. In 2025, IAMGOLD achieved significant milestones, including record quarterly productions across all sites. The first full year of production at Côté Gold, the establishment of a framework at Essakane that enables cash movements to be made at any time of the year, and the consolidation of assets in Chibougamau-Chapais, Quebec, to position the Nelligan mining complex as among the largest preproductions asset in Canada. On the financial side, we closed out the legacy gold prepaid obligation midyear, deliver the balance sheet through the repayment of the $400 million high cost term loan and established a share buyback program that pursuit $50 million in IAMGOLD shares in December and an additional $50 million so far in 2026, and we will continue to do so, driving up our per share valuations, all things being equal. This is a company that is taking a leadership position in the industry. IAMGOLD is a modern gold mining company that is proudly Canadian with strong cash flow and significant long-term growth opportunities ahead. We mine with the mining redefined purpose in mind, putting safety responsibility and people first. We hold ourselves accountable and embrace change, and drive innovations at every level from smarter systems to better ways of working. Now there are many highlights to discuss for IAMGOLD today. So let's get into it. Looking at the highlights from the year and the fourth quarter, we start with our safety record. Over the course of the year, our total recordable injury rates was 0.60, which was down from the year prior. We are focused on advancing our critical risk management program, including an important integration of contractor into the IAMGOLD way of safety management with a goal to reduce high potential incidents. On production, IAMGOLD closed out the year with a very strong fourth quarter in which all our mines reported record gold production. On a consolidated basis, attributable gold production for the fourth quarter was 242,400 ounces, a 28% improvement quarter-over-quarter, driving total production for the year to 765,900 ounces achieving the midpoint of the company's 2025 production guidance. The strong fourth quarter operating results helped to drive down costs on a per ounce basis. All-in sustaining cost per ounce sold was $1,750 for the fourth quarter and $1,900 for the year within the guidance range of $1,830 to $1,930. As discussed last year, last quarter, costs this year have faced upward pressure due to the record gold prices directly translating to higher royalties. The impact of these royalties on cash costs continue to increase through the year to where they accounted for an average of approximately $330 per ounce or 24% of cash cost in the fourth quarter 2025. As we look ahead through this year where we will uncover opportunities to grow the value of our asset, we will stay diligent on our commitment to operational excellence and discipline. While we will not be able to control the gold price, we can control our cost structure and ensure that cost improvement opportunity come down with our production product. At Côté, we will continue to fine-tune our mining, milling and maintenance practices to position the project well for the upcoming expansion phase. With that, I will pass the call over to our CFO, to walk us through our financial highlights. Maarten?
Marthinus Theunissen: Thank you, Renaud, and good morning, everyone. It was indeed a transformational year for IAMGOLD, as our solid operating results, coupled with record gold prices helped to fast track our strategy to unwind the financial leverage put in place to both Côté and allowed us to also start returning capital to shareholders in December. In the fourth quarter, the company generated record mine-site free cash flow of $626.6 million, bringing the year total to $1.2 billion. On an asset basis, in the fourth quarter, Essakane contributed $340.4 million and Cote contributed $197.0 million of attributable mine-site free cash flow. The record mine-site free cash flow was used to improve our financial position as the company's net debt was reduced by $468.8 million to $344.4 million at the end of the year, while also returning $50 million to shareholders. On the balance sheet, we completed the repayment of the $400 million term loan and also paid $50 million on our credit facility, reducing the balance to $200 million as at the end of December. IAMGOLD at $422 million in cash and cash equivalents at the end of the year and approximately $446 million available on the credit facility, resulting in total liquidity at the end of the fourth quarter of approximately $868 million. Excess cash at this account is repatriated through dividend and shareholder account payments, of which the company receives its share on its ownership net of withholding taxes. The shareholder account structure was introduced in 2025 and functions like an intercompany loan and allows for the company's portion of the dividend to repay partly using cash generated in excess of working capital requirements. The new structure allowed for cash flow in the fourth quarter, resulting from strong operating results and record gold prices to be repatriated in record time, and IAMGOLD received $291 million of payments from Essakane through the fourth quarter. Approximately $197.5 million of our consolidated cash balance was out by Essakane at the end of the year. And subsequent to year-end, these funds, combined with free cash flow generated in January was used to make further payments against the shareholder account can, and IAMGOLD received $171 million so far this year. The other notable event was the establishment of the share buyback program. In December, the company repurchased and canaled approximately 3 million shares for approximately $43 million at an average price of $16.87 per share through a share buyback program subsequent to quarter end, up to the timing of our results release, IAMGOLD has purchased an additional 2.6 million shares for $50 million. For the remainder of the year, we are planning to use the cash repatriated from Essakane in 2026 to fund our buyback program. And at a gold price of $4,000 per ounce, we estimate that this could be between $400 million, $500 million during the year. The NCIB lies with a purchase of approximately 10% of IAMGOLD's public float that was outstanding as of November 2025. All common shares purchased under the NCIB will be either canceled or placed under trust to satisfy its future obligations under the company's share incentive plan. This initiative reflects management's confidence in the company's long-term value and its commitment to disciplined capital allocation. We believe the alignment of strong cash flow generation from this account and our share buyback program represents a clear value accretive opportunity for the company and our shareholders. The company intends to use the free cash flow generated by Essakane as a base level to repurchase shares under the share buyback program as the gas is generated and repatriated over the course of 2026. Naturally, the actual amount of common shares that may be purchased if any, and the timing of such purchases will be determined by the company based on a number of factors, including the gold price, the company's financial performance, the availability of cash flows and the consideration of other uses of cash, including capital investment opportunities, returned to stakeholders and debt reduction. Turning to our financial results. On a full year basis, revenues from operations totaled $2.9 billion from sale of 817,800 ounces on a 100% basis at an average realized price of $3,549 per ounce excluding the impact of the gold prepay arrangement. The strong operating results and record gold price resulted in adjusted EBITDA of approximately $1.6 billion in 2025, compared to $780.6 million in 2024 and $338.5 million in 2023. At the bottom line, adjusted earnings per share for the year totaled $1.23 up from $0.55 the prior year. Looking at the cash flow reconciliation for the year. It is a good visualization of the major drivers of our financial position to end 2025. The significant operating cash flow are large for the delivery and conclusion of the occupy arrangements midyear, funding all capital programs at operations, significant delevering of the balance sheet, payment of a record dividend of Burkina Faso that allowed us to set up the shareholder count that we used to repatriate funds into Canada and the start of the NCIB program in December. As we look into this year, our priorities from a financial and capital allocation perspective are to deploy funds to areas where we see the most value add to our company, which includes the continuation of the share buyback program, utilizing cash flows, becoming net cash positive following the repayment of the remaining balance of the credit facility, fund our operations as outlined in our guidance to ensure they are positioned well exiting the year and ensuring that we have the financial capacity to support opportunities to improve our business. And with that, I will pass the call to Bruno Lemelin, our Chief Operating Officer, to discuss our operating results. Bruno?
Bruno Lemelin: Thank you, Maarten. Starting with Cote Gold, as Renaud noted, it was a very strong end to the year for Cote with fourth quarter attributable gold production of 87,200 ounces of 124,600 ounces on a 100% basis. The success of Cote goes beyond just the fourth quarter. In its first full year of operation, Cote produced 399,800 ounces on a 100% basis, achieving the top end of our guidance estimates. . During the year, our Cote teams achieved success after success every day on many fronts, offering a stability, maintenance, environmental monitoring or workforce engagement. Cote Gold completed the ramp-up and demonstrate that nameplate throughput of 36,000 tonnes per day over a period of 30 consecutive days ahead of schedule in June. It was a very strong 2025 with Cote now adding strong 3 consecutive quarter in a row of the mine hitting its target in its trial. Focusing back to the quarter, mining activity totaled 11.1 million tonnes, 4 tonnes mined were a record of 4.5 million tonnes in the quarter with a strip ratio of 1.5:1. Mill throughput in Q4 totaled 2.9 million tonnes. Head grade for the fourth quarter was a record of 1.44 grams per tonne as a result of the combination of higher grade direct feed ore, a low strip ratio over the quarter and stockpiling of lower grade ore. The installation of the additional secondary crusher was completed in November and commissioned in December with both compressor tested and operating in parallel. As we discussed later, last quarter, we elected earlier in the year to bring in a temporary contractor aggregate crusher to supplement protest crushing capacity to improve the arability of the secondary crushing circuit. They allow the plan to achieve its throughput milestone but at a higher cost as well -- as we will discuss on the next slide. With the 2 secondary cone crushers now operating the company plans to phase out the temporary crushing circuit over the first half of 2026. Looking at costs, Cote reported fourth quarter cash cost of $1,265 per ounce and all-in sustaining cost of $1,688 per ounce. We continue to see mining and processing unit costs above where we would like them to be. A major driver of cost this year has been associated with the temporary crusher. The decision to move ahead nameplate by 5, 6 months, allowing for maximizing funds versus waiting for the installation and ramp-up of the second corn crusher in an important time for the project in the market. Looking at mining costs on an annual basis, they averaged $4.20 per tonne in 2025. We expect to see cost improvement through 2026 as further operational improvements are made, including the elimination of the contracted aggregate plan and a reduction of contractors. Mining unit costs on an annual basis averaged $3 per tonne. There is a direct relationship with the amount of ore crushed with the temporary crusher in our processing costs. We expect that the removal of the aggregate plant will reduce processing costs by $4 to $5 per tonne. Additional savings are expected as we improve the life cycle of the HPGR rollers and fine-tune our maintenance cycles. Looking ahead, 2026 is the year in which our operations team is focusing on fine-tuning Cote at 36,000 tonnes per day. This year, the operations team will be focusing on unit cost improvement to stable and efficient mining and mining practices. It is important for our team to be able to operate Cote with an expected specification before we expand the operation further. On cost, all-in sustaining costs are expected to be in the range of $1,725 to $1,925 per ounce sold which reflects an additional $50 million or about $185 an ounce of nonrecurring sustaining capital investments to improve the operating efficiency, and the long-term operating cost structure, these include the implementation of our repeat system for the course of our done, additional maintenance facilities and improved dust mitigation measures. Expansion capital this year is estimated at $85 million for IAMGOLD. As we look to grow Cote, it is clear we can accelerate basic expansion projects. This includes a strategic push back that will provide both operational flexibility in the near term and optionality for the expansion as well as the acceleration of certain expansion related improvements to the processing plant, including an additional burden in early 2027. This leads us to what is next for Cote, the Cote Gosselin expansion mine plan. In the fourth quarter of this year, we will release the details of the updated mine plan that envision a near-term expansion of the Cote plan, targeting a significantly larger or based from both Cote and Gosselin. Alongside our financial results last night, IAMGOLD announces update on mineral resources and reserves estimates. In the estimate, we saw a significant upgrading of ounces from inferred to measured and indicated at Gosselin, which now is estimated to have 6.9 million ounces of indicated ounces and 1 million ounces of inferred sources. Combining Cote and Gosselin, the Cote Gold project currently is estimated to have M&I resources inclusive of mineral reserves and on a 100% basis of 18.2 million ounces and additional mineral resources 2.2 million ounces. Work will be ongoing this year to incorporate the end-of-year drilling and then combine their minimum resources estimate and big shelves into a single model. As currently designed, Cote has the mining capacity to average an annual or mining rate of 50,000 tonnes per day versus our current main trade processing rate of 36,000 tonne per day. As part of the 2026 technical report, we will look to find the right balance between an increased processing rate with mining rates targeting the combined Cote and Gosselin. Turning to Quebec. In the fourth quarter, we saw Westwood produced a record 37,900 ounces since mine restart as the underground return high grades coupled with strong throughput in the plant. Underground mining activities in the fourth quarter average 1,129 tonnes per day, translating to 105,000 tonnes in the quarter, a record volume from underground since the mine start with an average underground mine grade of 9.87 grams per tonne. During the first 3 quarters of the year, mining activities on the ground operated to lower-grade stow and adjust blasting technique. In the fourth quarter, Westwood refined stow design, sequencing and blasting while returning to higher grade stocks as per mining plans. Mining of the [indiscernible] open pit consoled in the quarter with 134,000 tonnes of mine with a head grade from the open pit averaging 1.19 grams per tonne. The open pit life has been extended into 2027. We expect Grand Duc to contribute a similar amount of ore to the plan this year with at a slightly lower grade of between 1.1 to 1.2 grams per tonne. Mill throughput in the third quarter was 299,000 tonnes at an average grade of 4.21 grams per tonne and average recoveries of 93%. Plant utilization was 92% in the quarter, up from 35% in Q3 and in line with the average expected for 2026. As a result of the strong fourth quarter, first, on a per ounce basis declined notably. Cash costs in the fourth quarter averaged $1,288 per ounce and all-in sustained costs averaged $1,719 per ounce, well below the average of the year of around $2,100 per ounce. The cost improvement was also assisted by lower unit costs while with mining costs, mining unit cost declining due to the high volume of ore mine mill. Looking ahead, to this year, Westwood production is expected to be in the range of 107,000 to 113,000 ounces. Mill throughput is expected to average 1.2 million tonnes in 2026 with blended head grade expected to average 3.44 grams per tonne over the course of the year with a fairly flat production profile quarter-over-quarter to the year. Cash costs at Westwood are expected to be in the range of $1,500 to $1,650 per ounce sold an all-in sustained cost in the range of $1,950 to $2,100 per ounce sold. Sustaining capital expenditures guidance is $55 million primarily consisting of underground development, renewal of the mobile fleet, upgrades in the mill and general maintenance. Expansion capital is expected to increase this year to $30 million which is primarily associated with development works and risk to support the study of options to extend the mine in the eastern parts of Westwood underground that could potentially be amenable to both mining. Looking at our mineral resources and reserve update, Westwood more than replaced the vision over 2025, with 1.1 million ounces of mineral reserves to date. Further, M&I resources inclusive of mineral reserves increased by 682,000 ounces or 40% to 2.4 million ounces as of December 31, 2025, with an additional 1.5 million ounces of inferred ounces. We are looking forward to conducting additional drilling underground at Westwood this year as we believe there is still significant potential assets to the east and west of our current underground operation. Turning to Essakane and considering with the Q4, the mine reported record production of 138,100 ounces on a 100% basis equating to 117,300 ounces on our 85% mining interest. Mining in the fourth quarter totaled 9.4 million tonnes, an increase from the prior quarter with higher ore terms, mine of 4.1 million tonnes for a strip ratio of 1.3:1 in the quarter. The average grade of mine ore in the fourth quarter was the highest grade mine in the year as the mine sequence deeper into Phase 7. The mill reported strong throughput in the fourth quarter of 3.2 million tonnes at an average head grade of 1.5 grams per tonne considering the quarter-over-quarter step-up we have seen this year. The plant achieved recoveries of 88% in the quarter, which was below the 90% average for the year as the second typically sees higher graphitic carbon in the higher-grade zones, though this is mitigated with blending. Similar to Westwood, Essakane saw an improvement in cost per ounce and unit cost per tonne on the higher volumes. For the fourth quarter, Essakane reported cash cost of $1,471 per ounce and all-in sustained cost of $1,674 per ounce. As Renaud noted in his earlier remarks, royalties in the current gold market are having a measured impact on industry cost structure. And this is even more pronounced in Burkina Faso, where the new realty decree was implemented in 2025 with royalties now uncapped and tied to gold price. In the fourth quarter, royalties accounted for $460 per ounce or approximately 36% of Essakane's cash cost. Accordingly, when we look at this year, we have guided to cash costs, excluding royalties and cash costs, including royalties at the gold price assumption of $4,000 per ounce. Cash costs, excluding royalties are expected to be in the range of $1,150 to $1,300 per ounce sold and including royalties in the range of $1,600 to $1,750 million. All-in sustaining cost is expected to be in a range of $2,000 to $2,150 per ounce sold. So on the traction side, this account attributable production is expected to be in the range of 340,000 to 380,000 ounces or 400,000 to 440,000 ounces on a 100% basis, similar to production in 2025. With a production profile expected to be fairly flat quarter-over-quarter this year, mining activity will target Phase 6 and 7 and the level that is adjacent to the second main zone. Our Mineral Resources and Reserves Essakane reserves decreased by 640,000 ounces due to depletion in geology model adjustment for a total of 1.7 million ounces. However, measured and indicated mineral resources reported a 50% increase in funds, offsetting a 26% decrease in grades for a total of 4.4 million ounces in measured and indicated, an additional 853,000 ounces of inferred. We are currently studying the Block 3 project, which would add an additional 5 years of life of mine expanding Essakane until at least 2032. With that, I will pass it back to Renaud.
Renaud Adams: Thank you, Bruno. I just want to take a moment to highlight the exciting development from the fourth quarter in which IAMGOLD acquired at Northern Superior and Mines d’Or Orbec consolidating their assets and properties with our assets in the Chibougamau-Chapais region of Quebec to form the Nelligan mining complex, which is now composed of the following deposit and high-value target. Nelligan, Monster Lake, Philibert, Chevrier Lac Surprise, Croteau Est. The Nelligan Mining Complex already has a significant mineral inventory of over 4.3 million measure-indicated ounces and 7.5 million inferred ounces, positioning the project among the largest preproduction stage gold project in Canada. . The close proximity of the primary deposit to each other supports a conceptual vision of the central processing facility being fed from multiple ore sources within the 17-kilometer radius. This year, we are substantially increasing our budget to allow for a comprehensive exploration program, which will look to expand and mineralized footprint of both Nelligan and Philibert while testing months lake at depth. In addition to a regional exploration program or high priority targets to further grow the potential of the project. Our teams are very excited for this project, and we will be putting the pedal to the middle to have a preliminary economic assessment on the Nelligan complex in 2027. With that, I want to thank our shareholders for your great support. We truly believe it will be an exciting year for IAMGOLD with significant value growth opportunities ahead and many catalysts ahead. And now I would like to pass the call back to the operator for the Q&A. Operator?
Operator: [Operator Instructions] And our first question today comes from Mohamed Sidibe from National Bank.
Mohamed Sidibe: Maybe I'll start with Essakane and with the M&I increased year-over-year and the potential extension of the mine life of that asset. How should we think about Essakane within your broader portfolio? And specifically, has the license is potentially expiring into 2029, please.
Bruno Lemelin: I'll give some first comment, and I'll ask Bruno to complete more on the potential we have here. But -- we've been going really on the step by step. I thought we had a wonderful '24-'25, the team is working hard. You've seen the increase in the resources. We see more and more possibility of extension. The most important thing is what I would call the acceptance of all of it, right? So we understand the geographic and geopolitic and so forth. But the reality is we've been operating this mine pretty steady state, no interruptions for nearly 3 years now. We found and -- congrats Maarten and his team and Renaud found a very creative way to allow for cash flow. At those prices, we see a good opportunity of using this cash flow to reward our shareholders. So I think over the next few quarters, we just need to continue to be the drama and execute on our plans and continue to repatriate and reward our shareholders. And as we advance in '26, Renaud and his teams will complete some work. We definitely see an extension potential, which we need to continue to work and improve. But we're not there yet, but I think we've come a long way to make a kind of a very strategic element of our portfolio. Renaud, if you want to add any...
Renaud Adams: Yes. So thank you, Mohamed, for your questions. I've been at that again, like I started with IAMGOLD second in 2014, since then, the life of mine has not stopped getting extended. So should not come too much of a surprise. What is really good is we were able to find those additional resources within the fence north of Phase 7. So we have now Phase 8 and Phase 9 and 10 north of where we are currently mining. And South, we have the low pit that is also getting -- we're seeing an extension of the current level pit that also tried to connect south of the second main zone. So there's a saddle zone and now we believe those 2 connects together. So it gives us confidence that we could be targeting at another 5 years of life of mine. That's what we're going to be coming with when we're going to start engaging with the government. It shouldn't be like too much of a problem when we first met with the off the shows in terms of having the license to be extended by another 5 years, which would bring us closer to [ 2030, 2030 ]. So we're not, again, decision to be made probably later as we advance in a year in preparations for '27 plan. But meanwhile, we expect another great year and maximum free cash flow out of the asset repatriated and apply towards the shareholder program, share buyback. So more to come.
Mohamed Sidibe: Maybe I'll switch to Cote specifically on the unit cost. I think, Bruno, you touched on the milling cost potentially improving $4 to $5 by the second half 2026, could you give us a little bit more color on mining costs and where you expect to exit maybe 2026 and what we should be thinking in terms of modeling there for Cote Gold?
Bruno Lemelin: Yes. So the mining costs for 2026, we are making adjustments. Some adjustments are taking time. So now we're implementing any one or some plan, there will be some testing. We should be at the year at around $370, $380  a tonne as we are getting. We brought new equipment, new drills. We are also doing the pushback, Mohamed. And by doing this pushback, there's several infrastructure that needs to be relocated like the towers for the and everything. So there's a lot of activities surrounding the mining activity, that's the reason why we see a diminishment and unit costs. However, it's going to take some time to see the long-term mining costs, not for this year.
Renaud Adams: So what I could add to this is like at the early stage, we've seen some -- yes, we've seen some deficiencies, some areas that need some improvement. We put more capital this year addressing on like Bruno just mentioned, if you want to optimize your mining costs, well, you need to optimize your OE, your overall performance. To do that, you need a larger pit. You need like maintaining -- this has all been taken into account. It may not be all achieved in '26, as Bruno mentioned. But as we file and as we present our long-term plan, we will, if needed, integrate some additional improvement in '27, '28. But the objective is over the next -- with a big chunk in '26, but over the next 2 to 3 years. We really see a path forward with the possibility of reducing the cost and bringing Cote into one of the best unit costs for this large-scale Canadian. And then when you combine with the average grade and the possibility to uplift that we've seen the grade this year and the low strip ratio of Cote everything is in place at Cote as we optimize the cost to make it a very attractive overall all-in sustaining costs. We've discussed the royalty -- there's not much we could do more than we do have a provision of buyback, which we would really pay attention to as we unlock our full potential of this scenario. So we're in a good position. We appreciate that there's a lot of work to do. Bruno and his team this year, but we feel very confident that we have a path forward and we'll try to make it as much as possible this year, but it may extend a bit in '28.
Operator: Our next question comes from Sathish Kasinathan from Bank of America.
Sathish Kasinathan: My first question is on Cote. On Slide 11, you mentioned that the mine plan for Cote is likely to include stage capital. Can you maybe provide a bit more color on what it means? Are you still targeting the 50,000 tonnes per day run rate or maybe even more? How should we think about it?
Renaud Adams: I think that the reference to the stage capital here is to being capable to focus from expansion to tailings down the road, to opening Gosselin. So what we're saying is that there is nothing need to do everything on a day 1 to make an expansion at Côté Gold. As a matter of fact, you -- the Cote itself is enough to justify the expansions and eventually Gossan. So when we say stages, we see now [indiscernible], Bruno and his team is accelerating some aspect in the pit and opening the pit and so forth. So that's going to be in place by the time. And we say '29 is a focus on the expansion, '29, '30 and we have enough tailings capacity in place. So there would be a stage in fact. So we just want to clarify that. It's not like you need to build everything and have everything in based on day 1. The capital will be aged capable to be fully funded through the free cash flow of the asset.
Sathish Kasinathan: Okay. That is clear. Maybe one question on Essakane. So you received $171 million of cash this year at the start of the year, of which $50 million was spent was already use of buybacks. And you still have $219 million left from the last year's dividend declaration. So for the full year, is it fair to assume like a minimum of $390 million of share buybacks could be achieved in 2026 and depending on how much dividend is declared for this year, we could see potential upside to the number?
Marthinus Theunissen: So we had $408 million of the shareholder accounts outstanding at the beginning of the year. And as you mentioned, we already received $171 million, again that back. We expect that remaining balance to be repaid by the end of the second quarter, during the third quarter. But then when we get into that period, we will be declaring the 2025 dividend where the shareholder account will be related again. So based on our projection, there would be more than enough shareholder accounts available this year to continue with the program where we can move money out of Burkina Faso every month as the asset generates free cash flow above its excess working capital. And then -- so the free cash flow attributable to IAMGOLD this year should -- you should be able to match that to buy back shares in the program.
Sathish Kasinathan: Okay. Congrats on the strong quarter.
Operator: Our next question comes from Anita Soni from CIBC.
Anita Soni: Congratulation on strong quarter and strong year. I just wanted to ask a little bit more about Côté and Gosselin. I think you noted in the MD&A that there would be an update on the reserve -- another update on the reserves and resources for Gosselin in Q2. And my apologies if you addressed it in the opening comments, I would comment -- but...
Renaud Adams: Thank you for asking, Anita on this. So it's cutting here. So sorry about that. So go ahead.
Anita Soni: I was just going to say, what were you expecting to provide with the Q2 update?
Renaud Adams: The -- thank you for asking this. As Bruno showed in his portion, Bruno talking about the mineral reserve and our resources. So not a surprise on the research side. It was just inflation as you know, like the big consolidating both Gosselin and Cote through. On the resources side, we've come quite a bit a long way and have delineated some but this is kind of an ongoing work. So to your point, we expect to complete probably late Q1 and maybe like we're talking about Q2 potentially, but the target is by the end of Q1, somewhere there. We would complete the resource update, if you call it, the final one that would serve for the plan. We're comfortably sitting in more than $18 million, but there is more drilling to be incorporated. There is a merge of the block models as well. We're still discussing the final price to be used and so forth, but we had this objective of the Saddle zone as well as Renaud just pointing out to me. So as you combine the block model, so you create that saddle zone that would drill as well. So it's not the final not to look at the resource update at Cote has the final word about our objective of $20 million, and we're still planning to discuss those results late Q1, early Q2.
Anita Soni: Okay. And how much more drilling would that have incorporated versus what you just did? I think you converted 2 out of the 3 million ounces of inferred into M&I category. But how much more would that bring on stream. If you could just tell me like as a percentage of the drilling update? If you want to tell me they have the number of ounces that would be great to.
Bruno Lemelin: We still have 29 -- 25 holes to be included. And we have also the campaign on the saddle zone that needs to be included as well.
Renaud Adams: So enough -- and again, like the merge of the block model as well, like technically should also create some. So we feel very, very strong, Anita, if without giving a final number because we haven't seen it, but we feel very comfortable towards objective of $20 million.
Anita Soni: Yes. And then I just want to follow up on the reserves and resources as well. I noticed the grade decline. Does that -- have you -- I'm just -- I guess, you've had positive grade reconciliation at the assets. How are you basically calculating your depletion at the asset? I'm just -- like are you just basically saying, okay, well, we -- we ended up -- we thought this ore body would be 1.2 and that being 1.5. So we're expecting the 1.5 off of the average. Is that the way you're doing it? Or did you include the positive grade reconciliation in the calculations. .
Bruno Lemelin: Yes. So the -- we changed the block model and the block model that we'll be using this year has taken -- we had to do some adjustments. But moving forward, the block model is going to be Côté Gold a little bit more conservative. Therefore, that's the reason why you see that we are going down. It does not exclude the potency that we will see faster reconciliation specifically when you get those higher grades on like we were doing in Phase 7. What we're trying to cap a bit in a positive reconciliation in our future resources estimate. So we have something more about then comes over.
Operator: Our next question comes from [indiscernible] from Scotiabank. .
Tanya Jakusconek: Hello. Can you hear me?
Renaud Adams: Yes.
Tanya Jakusconek: It's Tanya. Yes. Just first of all, just at our time getting on and hearing the little beat so that my question is in queue. I have a few questions, if I could. I just wanted to follow up on Anita's question on the reserves and resources that's coming out on Cote and in Q2. So just so that I understand, so we're still targeting that $20 million out overall number. What the reserves and resources and other will show is just more of a conversion or an upgrade into the M&I and reserve category with those additional 25 holes. Is that a proper way to think about it?
Renaud Adams: The way to look about it is we feel strong that when the exercise is done, we will achieve our objective of $20 million of MI and from which Bruno and the team will put the mine plan to it and convert as much as we can within an economic plan to reserve. So obviously, the reserve that we have release at the end of the year is only reflecting the all plan depleted. So we're moving from this to the new plant consolidated from which new economics might plan. So we're definitely going to see and expect a significant increase in reserve. We just need to complete the work. But the starting point will be hopefully a $20 million-plus MI resource base, and we feel very strong about the economics of those pits. So more to come, but we feel strong about a significant increase in reserves.
Tanya Jakusconek: Okay. Okay. And then how should I be thinking about this capital because you talked about a lot of this capital now being spent with $85 million or thereabout at Cote this year. How should I be thinking of the study? And I think at one point, we were thinking of $100 million to $200 million in capital. How should I be thinking about the capital for all of this? .
Renaud Adams: I guess if I would have all the detail, Tanya, we would have probably been a little more because we're still in trade-off. So the way to look at it is I think the growth capital that we're going to be deploying over the next few years should normally bring the pit to a point of expanded capable to provide for the -- now the mill itself, which will be the main capital of '29, '30, we're still in the trade-off and so forth. No, I do not believe you build an expansion today for $100 million to $200 million total capital but we believe that it could probably be achieved below the $500 million, but we still have to do the work.
Tanya Jakusconek: Okay. I'll take a look further in depth. Just on 2 other things. Bruno, I think you gave some guidance for how the year is panning out for us quarter-on-quarter stable for both Essakane and Westwood. What about Cote?
Bruno Lemelin: Okay. Fair question. Cote is going to be lower for the first half of the year because we have the maintenance plan for the HPGR change in March or April. That's going to be a 5-day shutdown. We will have supplement, find or material to feed the mill, but we're going to be running at a slower pace. We also have -- we did a very good end of the year 2025, and we took advantage of Q1 to take a lot of other maintenance. So overall, we need to expect Q1 and Q2 to be lower than Q3 and Q4. And generally, summertime at Cote is very good, like last year, Q2, Q3, Q4, we produced 36,000 tonnes per day, almost like 36,000 ounces a month in average. So that gives you a bit like the kind of seasonality that we have, like we have a seasonality due to winter conditions in Q1. In Q2, we do some planned maintenance on the HPGR, and after that, like, we are rolling until the end of the year.
Tanya Jakusconek: Okay. So should I be thinking like a 45-55 or is that?
Renaud Adams: Yes. I guess, anywhere between like the zone of around 40, 45, as you say. Definitely, H2 will be much stronger, season-wise, second crusher fully up and running HPGR and plus any other optimization that's going to come. So yes, I think it's fair to think that our second half could be at the 55% of the year.
Tanya Jakusconek: Okay. And Renaud, I have you on for my one final question. Dividend, I mean we had talked on one of the previous conference calls that you were potentially thinking that once all this is done, the dividend plan could be implemented. Where are you on that? .
Renaud Adams: I think we feel very strong that on the step by step. I mean, as Maarten discussed, I think the first thing first is on the share buyback. There is no doubt that let's call the Canadian platform would most likely be an excess cash as well in those prices, something we're going to revisit after with our Board at the end of Q2. I see how the share buyback goes. Is there an opportunity to increase the share buyback using a bit of the Canadian excess? Do we start in operating dividend. So I think we're going to have this conversation post Q2 for the second half as we realize the free cash flow on the Canadian side as well. So we feel very strong that is I can should only go towards share buyback. The question is after what is the next in a row. And I think we're going to postpone the decision for the second half of the year.
Operator: And this will conclude today's question-and-answer session. At this time, I'd like to turn the floor back over to Graeme Jennings for closing remarks.
Graeme Jennings: Thank you very much, operator, and thanks to everyone for joining us this morning. As always, should you have any additional questions, please reach out to Renaud and myself. Thank you all. Be safe, and have a great day.
Operator: This brings to a close of today's conference call. You may now disconnect your lines. Thank you for participating, and have a pleasant day.